Operator: Good morning, and thank you for standing by. Welcome to the Dorman Products Fourth Quarter 2025 Earnings Conference Call. [Operator Instructions] Please note that this conference is being recorded. I would now like to turn the conference over to Alex Whitelam, Vice President of Investor Relations. Thank you, sir. Please go ahead.
Alexander Whitelam: Thank you. Good morning, everyone. Welcome to Dorman's Fourth Quarter 2025 Earnings Conference Call. I'm joined by Kevin Olsen, Dorman's Chief Executive Officer; and David Hession, Dorman's Chief Financial Officer. Additionally, Charles Rayfield, who will officially step into the role of Chief Financial Officer following our upcoming filing of the 2025 10-K is in attendance. Kevin will provide a quick overview, along with an update on each of our business segments and their respective markets. Then David will review the consolidated results before turning it back over to Kevin for our outlook and closing remarks. After that, we'll open the call for questions. By now, everyone should have access to our earnings release and earnings call presentation, which are available on the Investor Relations portion of our website at dormanproducts.com. Before we begin, I'd like to remind everyone that our prepared remarks, earnings release and investor presentation include forward-looking statements within the meaning of federal securities laws. We advise the listeners to review the risk factors and cautionary statements in our most recent 10-Q, 10-K and earnings release for important material assumptions, expectations and factors that may cause actual results to differ materially from those anticipated and described in such forward-looking statements. We'll also reference certain non-GAAP measures. Reconciliations of these non-GAAP measures to the most directly comparable GAAP measures are contained in the schedules attached to our earnings release and in the appendix to this earnings call presentation, both of which can be found on the Investor Relations section of Dorman's website. Finally, during the Q&A portion of today's call, we ask that participants limit themselves to 1 question with 1 follow-up and to rejoin the queue if they have additional questions. And with that, I'll turn the call over to Kevin.
Kevin Olsen: Thanks, Alex. Good morning, and thank you for joining our Fourth Quarter 2025 Earnings Call. As Alex mentioned, I'll start with our achievements in 2025, a high-level review of the results for Q4 and updates for each of our segments before turning it over to David. Let me start on Slide 3. As you'll recall, in last year's Q4 earnings call, we laid out a clear set of strategic priorities for 2025, critical areas where we plan to commit time, resources and investments to advance our long-term goals. I'm pleased to report that we delivered on what we said we would do. First, innovation. We had an exceptional year with record sales from new products, launching thousands of new SKUs, including some home runs like the electronic power steering rack, along with many singles, doubles and triples. We also made meaningful investments in our product development function. Our current new product pipeline is as strong as it's ever been with a growing mix of opportunities involving complex electronic solutions, an area where we believe we have a distinct competitive advantage. Innovation remains the lifeblood of Dorman and the progress we made this year positions us extremely well for the future. Second, operational excellence. We advanced productivity across the organization, including deploying new automation technologies in our distribution centers. These initiatives improved service levels for customers, enhanced availability for end users and generated tangible savings. We see continued opportunity here, and we'll keep driving efficiency and performance across our facilities. Third, supply chain excellence. Despite a complex tariff environment, we executed as planned. In 2025, we further diversified our global sourcing footprint, meeting our goal to reduce supply from China to below 40%. Strengthening supply chain resilience remains a key priority, and we continue to build deep strategic relationships with suppliers around the world. 2026, we expect our supply from China will further be reduced to approximately 30% of our total spend. Fourth, channel expansion. In both heavy-duty and specialty vehicle, we expanded our reach and won new business. With Dayton, we drove wins by leaning into categories where we had competitive advantages. And with SuperATV, we expanded our dealer network and nondiscretionary portfolio. And finally, strategic growth. While M&A activity in the aftermarket was quiet overall in 2025, we capitalized on organic growth opportunities across each of our segments and end markets with category and customer wins. On the M&A front, we deepened relationships with potential sellers and continue to evaluate new opportunities. We're hopeful that the coming quarters will bring more activity to the M&A market. Overall, our priorities were clear, and we executed with discipline. We're proud of what we achieved in 2025 and even more confident in the foundation we built for continued growth and value creation. Turning to Slide 4. These accomplishments translated into outstanding financial performance for the year. Let me cover a few of the highlights. Net sales reached $2.13 billion, up 6% year-over-year. Growth was driven by strong demand in our light-duty segment during the first half as well as successful execution of our tariff-related pricing initiatives in the back half. While broader market conditions presented some headwinds for heavy-duty and specialty vehicle, the teams executed on their commercialization initiatives during the year. We also delivered meaningful margin expansion and earnings growth for 2025. Although cash flow was impacted by increased tariffs, our earnings strength and cash management strategy allowed us to continue investing in the business, further strengthen the balance sheet and return capital to our shareholders. Our achievements and performance in 2025 are the direct result of the hard work and dedication that our contributors bring to Dorman every day. So I'd like to take a minute to thank and recognize everyone across the organization who worked tirelessly to navigate through the dynamic changes and challenges faced throughout the year, all while driving innovation, delivering operational improvements and putting our customers and end users at the forefront of everything we do. I'm proud of the talented team we have at Dorman and what we've accomplished together. I look forward to building on the success in 2026. Speaking of talent, I also want to welcome Charles Rayfield as our new CFO. Charles comes to Dorman with extensive CFO experience in both privately held and publicly traded companies. I know a few of you have had the opportunity to make quick introductions, and we're looking forward to having Charles on our future calls and getting out on the road in coming quarters. Next, on Slide 5, let me touch on the high-level results for the fourth quarter. Consolidated net sales were $538 million, up slightly from Q4 2024, but below our internal expectations. Our tariff-related pricing actions supported modest growth. However, shipment volume was down year-over-year due to a larger customer adjusting their ordering patterns in the quarter, which I'll cover in a moment. Despite lower-than-expected net sales in the fourth quarter, gross margins exceeded our expectations, allowing us to deliver adjusted diluted EPS for the year at the high end of our guidance range. A couple of factors I'll highlight contributed to this result. First, we shipped more pre-tariff lower cost inventory, driven in part by lower-than-expected volume in the quarter. Second, our team did a nice job managing expenses across the organization. Together, these drivers allowed us to report adjusted diluted earnings per share of $2.17 for the quarter. As we anticipated, cash generation improved sequentially with $42 million in operating cash flow in Q4. Additionally, we further strengthened our balance sheet and returned $25 million to shareholders through share repurchases. Finally, we are issuing 2026 guidance that demonstrates our confidence in delivering strong top line growth through innovation and commercialization initiatives and reflects the timing impacts relating to tariffs. I'll walk through that outlook in more detail shortly. So while there are several moving parts in the quarter, I'm pleased with our year-end results and have confidence in our team's ability to continue executing on our strategy and drive strong long-term profitable growth. Next, let me provide our results and market observations for each of our business segments while highlighting some of our recent accomplishments in each. Turning to Slide 6. I'll begin with our light-duty business. Net sales in the fourth quarter were $429 million, up slightly over the same period in 2024. We estimate that POS at our large customers was up mid-single digits year-over-year for the fourth quarter. And when you look at POS over the entirety of 2025, it directionally aligned with net sales. As I just mentioned, the team did an excellent job executing on our pricing initiatives. This helped offset lower shipment volume resulting from a larger customer that significantly shifted their ordering pattern during the quarter to reduce inventory. Also, keep in mind that last year's fourth quarter was exceptionally strong with execution on a number of large programs. As it relates to the specific customer ordering change, we expect to see continued order fluctuations in the first quarter of 2026, with stabilization returning in the second quarter. Overall, we believe the nondiscretionary nature of our product portfolio and our new product development strategy will allow us to drive outperformance over the long term. Next, we drove stronger-than-expected gross margin, given more lower cost pre-tariff inventory shipped during the quarter, partially as a result of lower-than-expected volume. We also drove continued savings with our ongoing supplier diversification and productivity initiatives. Operating margin was down slightly year-over-year, largely because of the higher factoring costs related to tariffs. Looking more broadly at the light-duty market, macro trends continue to remain positive with VIO and vehicle miles traveled increasing year-over-year. Additionally, OEM platform changes continue to present opportunities for our new product development strategy, especially in complex electronics. On this point, we continue to invest in our complex electronic capabilities as EV, hybrid and ICE vehicles are increasingly being equipped with more digital systems. We have the infrastructure and expertise to address complex electronic failures with more than 15 years of experience with data logging, electronics design and co-development to provide our customers with sophisticated software-enabled solutions. Our current new product pipeline includes the highest proportion of complex electronics in our history. As an example of this, we recently launched a fuel pump driver module for a wide range of Toyota and Lexus models. Assembled in the U.S., this solution is precision engineered to replace the original equipment module, which can fail after exposure to heat and environmental elements. Fuel pump driver module showcases Dorman's ability to apply OEM-level electronics engineering and manufacturing in high-volume applications. With more than 2.5 million vehicles in operation across Toyota and Lexus platforms. This module allows us to bring our advanced power electronics capabilities to drivers looking for extended vehicle life with an easy-to-install and cost-effective solution. Great job by our product development team for identifying and bringing this opportunity to market. Next, let me turn to Slide 7 for our heavy-duty business. Net sales grew 6% year-over-year in the fourth quarter despite continued pressure in the trucking and freight industry. The heavy-duty team did a nice job executing on the pricing front while also driving more business wins. Operating margin expanded 130 basis points year-over-year as a result of the timing around tariffs, similar to our light-duty business. We remain focused on improving both our commercial and operational execution in the heavy-duty segment to achieve our long-term goal of mid-teens operating margin. Looking across the sector, the great freight recession continued in the fourth quarter, where tariff and general market uncertainty continue to add pressure on the trucking and freight industry. That said, softer new vehicle sales across the last several years have led to an increase in the average heavy-duty vehicle age, a trend which we expect to continue for the next several years. All in all, there continues to be mixed signals within the market, making it hard to predict the timing of rebound. But we're tracking it closely, controlling what we can control and investing where appropriate to capitalize on business wins. One example of this would be the recent expansion of our medium-duty product offering and omnichannel approach. Medium-duty vehicles are typically part of larger fleets focused on last-mile delivery. used in ports, large campuses, industrial settings and for deliveries to our homes and businesses. These are high mileage vehicles, making many stops, so they experience quite a bit of wear and tear. Historically, fleet managers will rely on their dealer relationships for key repairs in their medium-duty fleet. However, through our wholesale distribution network and direct sales relationships, we're approaching this channel with improved focus to provide fleet managers with more optionality and cost savings while maintaining these critical assets. On Slide 8, I'll provide an overview of the Specialty Vehicle segment. Top line growth in the fourth quarter was flat year-over-year with pricing initiatives on certain categories offsetting softer spending in the overall segment. Operating margin was down year-over-year in the fourth quarter, primarily due to increased wage and benefit expenses. I'd note that the overall change in profit dollars is relatively low, and the team did a nice job managing expenses in specific areas of the business that are more controllable. Again, longer term, we are targeting a high teens margin profile for the business, supported by expanding new product pipeline, especially with nondiscretionary parts. While market challenges persist, UTV and ATV ridership remains strong. This condition remained consistent through 2025. So we're not seeing an impact to overall end-user demand for these products, just timing delays in purchases. New machine sales are also rebounding in the 2024 and 2025 levels and dealers have generally rightsized their vehicle inventory positions. We expect that as economic conditions improve, riders will resume enhancing and repairing their vehicles. On the new product development front, SuperATV continues to demonstrate its speed and agility in bringing solutions to the evolving aftermarket. We recently launched a 4-inch and 6-inch portal gear lift for the CF Moto UForce U10. As CF Moto's newest high-demand UTV hit the market, SuperATV was the first and currently the only manufacturer to deliver portal lift solutions for this model. Our portals enable riders to customize and elevate performance with the durability and capability SuperATV is known for. This patented early to market position reinforces our strategic advantage, the ability to evaluate new vehicle platforms quickly, engineer high-quality components and release fully tested products ahead of competitors. Congrats to the SuperATV team on another successful launch. With that, I'll turn it over to David to cover our results in more detail. David?
David Hession: Thanks, Kevin. Turning to Slide 9. Let me provide more detail on our consolidated results. Net sales in the fourth quarter were $538 million, up $4 million or approximately 1% year-over-year. As Kevin highlighted, our net sales performance across the enterprise was largely driven by our pricing initiatives. In addition to the tough comparison we had in Q4 2024, where we had strong growth, volume this year was impacted by a larger customer that significantly changed their ordering pattern during the quarter to reduce inventory. That said, we believe these timing shifts will normalize through the second quarter of 2026. Adjusted gross margin came in higher than expected for the quarter at 42.6%. This was a 90 basis point increase compared to last year's fourth quarter. As Kevin mentioned, this margin expansion was driven by more pre-tariff lower cost inventory shipped during the quarter, partially as a result of lower-than-expected volume. Supplier diversification and productivity initiatives across the organization also contributed to our strong margin performance. Adjusted SG&A expense as a percentage of net sales was 25.2%, up 100 basis points compared to the same period last year. The uptick was largely tied to increased expenses related to funding the higher tariffs, along with higher wage and benefit costs in the quarter. Adjusted operating income was $93 million and flat compared to last year's fourth quarter. Adjusted operating margin was 17.4%, down slightly compared to the same period. As we discussed in prior quarters, there has been continued pressure on the trucking and freight industry impacting our heavy-duty segment. As a result, we recorded a noncash goodwill impairment charge in the fourth quarter of approximately $51 million after taxes. This is reflected in our GAAP results included in our press release, but has been adjusted out in adjusted diluted EPS. With that, adjusted diluted EPS in the fourth quarter was $2.17, down 1% year-over-year, but up against a very strong fourth quarter 2024. Interest expense was lower on debt reduction, and our tax rate was lower in the fourth quarter of 2024 due to discrete items that did not repeat this year. Let me quickly cover our full year results on Slide 10. As Kevin mentioned in our 2025 highlights, net sales increased 6% year-over-year with the first half driven by strong demand in our light-duty business and our pricing initiatives related to tariffs driving our performance in the second half. New products saw a record year of sales and the commercialization initiatives we've discussed throughout the year were positive drivers of our top line results. Operating income increased 17% over 2024 and operating margins were up 170 basis points to 17.8%. Again, this margin performance was driven by tariff-related timing dynamics, along with the supplier diversification and productivity initiatives driven by our segments. Let me also provide some additional color on our earnings. Adjusted diluted EPS was $8.87 for 2025, a 24% increase compared to the year prior. Now with full visibility of the impacts that the additional tariffs had on our results for the year, we thought it would be helpful to quantify this impact for the investment community. When including the timing dynamics of price and costs, along with the onetime miscellaneous expenses associated with tariffs, we estimate a full year impact of approximately $1.25 to our adjusted diluted EPS. While this is purely an estimate, we thought it would help contextualize pre-tariff comparison to 2024 and set a framework for our 2026 guidance, which Kevin will cover in a moment. Turning to our cash flow on Slide 11. As we expected, cash generation improved sequentially from Q3 to Q4. While tariffs continue to impact our inventory spend, we drove $42 million in operating cash flow during the quarter, a $30 million improvement from Q3. This allowed us to repay $16 million of debt and resume our share repurchases with approximately $25 million deployed in the fourth quarter. While we covered this extensively throughout the year, our full year operating cash flow was down 51% in 2025 compared to 2024. With capital expenditures essentially consistent, free cash flow was down 61% year-over-year. Again, the majority of this decline was tied to higher cost inventory as a result of tariffs. Looking ahead in 2026, we expect operating and free cash flow to continue improving before normalizing in the back half of the year. I'll reinforce that we ended 2025 with a strong balance sheet and liquidity position. Throughout the year, we successfully managed tariffs and higher cost inventory with our asset-light operating model and cash management, all while investing in key organic growth opportunities for the organization. As you can see on Slide 12, net debt was $391 million at the end of the year, which was down $42 million compared to the same time the year prior. Our net leverage ratio was 0.89x adjusted EBITDA compared to 1.12x at the end of 2024. And finally, our total liquidity was $648 million at the end of 2025, up from $642 million at the end of the prior year. I'll conclude by commenting how proud I am of the work our team has done to build the financial foundation that the company sits on today and look forward to seeing where Kevin, Charles and all my fellow contributors take Dorman into the future. To the analysts and investors that I've had the pleasure of working with over the past 7 years, thank you for all of your support and confidence in our team. With that, I'll turn it back to Kevin to cover guidance before we get into the Q&A.
Kevin Olsen: Thanks, David. Let me dive into the guidance we are providing for 2026 on Slide 13. As we discussed in our Q2 and Q3 earnings calls, tariffs created timing nuances related to when price and costs took effect on our results. This created a tale of 2 halves in 2025, where the first half was on a typical price and inventory cost schedule and then pricing took effect in the second half without the associated higher cost inventory selling through. As we discussed today, this continued into the fourth quarter as we shipped out less inventory with the highest levels of tariffs. Therefore, we expect to see the higher cost inventory hit more in the first half of 2026 before normalizing later in the year. Starting with the top line. We expect total net sales growth to be in the range of 7% to 9% for the year and directionally the same range for each of the segments. This growth target reflects both a modest level of volume improvement over 2025, along with the impact of pricing. Two factors to keep in mind. First, we had a strong first half of 2025 from a volume perspective. Second, as we've covered in our last several calls, 2025 only saw increased tariff pricing begin to take effect in Q3. So the full year impact is a positive. Let me provide a bit of additional color around cadence for the year. From a margin perspective, we expect operating margin will reduce temporarily in the first quarter, but we expect our margin profile will meaningfully improve through the back half of the year. This is because of the FIFO lag on reduced costs from lower tariffs, along with our continued supplier diversification, productivity and automation initiatives driving more savings throughout the year. For the full year, we expect to deliver an operating margin in the range of 15% to 16% with a more normalized high teens rate as we exit 2026. As a reference point, if you look back to our performance in 2023, with the inflationary environment following the global pandemic, we had a similar situation where the business began the year with subdued margins and then finished the year strong. We're expecting a similar cadence with operating margins this year. Point is we've managed through inflationary cycles before, and we have the playbook to handle the timing nuances. Next, for 2026, we expect a full year tax rate of approximately 23.5%. This could vary from quarter-to-quarter as discrete items are recognized. Finally, for adjusted diluted earnings per share, we expect 2026 to be in the range of $8.10 to $8.50. Let me provide some additional context around this range. As David mentioned, we estimate that the additional tariffs that took effect in 2025 had an impact of $1.25 on our full year adjusted diluted EPS. Excluding this benefit, our adjusted diluted EPS would have been approximately $7.62 or a 7% increase over 2024. And our 2026 EPS guidance range represents a growth rate of 6% to 12% on a comparable basis. Again, this is purely an estimate, but we felt it was important to help outline the overall impact tariffs have had on the business. From a cadence perspective, we expect that EPS will see the toughest year-over-year comparison in the first quarter, with growth rates normalizing towards the end of the year. I'll mention that this is more color than we ordinarily provide. But given the complexities and nuances with the timing impacts of tariffs and price, we hope it might be helpful context as we think about 2026. All this said, we continue to live in an environment with significant uncertainty as it relates to tariffs and global trade dynamics. The recent IEEPA ruling by the Supreme Court last week and the new Section 122 global tariffs announced over the weekend have added additional complexity and uncertainty. For clarity, our guidance today reflects an assumption that future tariff levels will remain generally consistent with those that were in place prior to the IEEPA ruling, and therefore, we expect the overall impact to our business will likely be directionally the same. Additionally, our guidance does not reflect any potential IEEPA-based tariff refunds that may be issued or claimed in the future. Should any material changes to tariffs or trade disruptions significantly impact our business or alter our expectations, we may look to update our guidance. Just to finish up on Slide 14, I'd like to reiterate my congratulations to our entire team for delivering strong performance in 2025 and operationally executing exactly what we said we would do. While there are a number of moving parts in 2026, our guidance reflects our ability to navigate through the challenges tariffs have presented and deliver strong long-term growth for our shareholders. We'll continue driving innovation for our customers and end users, further improving our commercial and operational execution and strategically investing in opportunities where we can win in our respective markets. We value your partnership, and thank you for your support. Finally, I wanted to take a moment to thank and recognize David as this will be his last earnings call. Since joining the company in 2019, David has played an integral role in our success, helping lead through a global pandemic, supply chain disruptions and 2 rounds of tariffs. Now I understand why you're retiring. In all seriousness, David, your mark on Dorman will be felt for a long time. So thank you for your service, and we wish you all the best in retirement. With that, I would like to now open the call up for questions. Operator?
Operator: [Operator Instructions] Our first question comes from Scott Stember from ROTH Capital.
Scott Stember: David, congrats on your retirement, and it was great working with you.
David Hession: Thanks, Scott. It's been a pleasure. I appreciate it.
Scott Stember: So beyond the tariff noise within the guidance, I'm just trying to make sure I get a sense of how, I guess, the light-duty business is doing. It sounds like mid-single-digit POS growth. There was a lot of pricing in there as well. But I know you typically don't parse this out, but I'm just trying to get a sense of what volume looks like on a POS basis. Just trying to get a sense of how you guys are matching up with what the O'Reilly's and the AutoZone's are saying.
Kevin Olsen: Yes, Scott. Yes, thanks for the question. Good question. Look, the light-duty business, the macros remain very strong. I mean the sweet spot of the vehicle, the 7- to 14-year-old vehicle continues to increase. Miles driven continue to be up. The age of the vehicle now is approaching 13 years. So overall, we see a very constructive environment as we go into 2026. As you said, our POS was up mid-single digit in the quarter, very similar to what we saw in the third quarter. So not a lot of change there. The one dynamic, obviously, that we pointed out in our prepared remarks was, obviously, sales were down a bit as it related to POS because of the one customer who changed their order patterns in the fourth quarter. But other than that, we remain real constructive on the aftermarket here as we move into 2026.
Scott Stember: Got it. And your guidance for 7% to 9% growth for the year, very robust. Obviously, it sounds like there'll be some additional pricing actions coming through. But maybe talk about POS versus sell-in. Are we basically saying that you would expect that POS would be up in that mid- to high single-digit range for the year?
Kevin Olsen: Yes. I mean we're assuming roughly mid-single-digit POS as we move through 2026. There is -- you mentioned new pricing. I'll just clarify that a little bit. It's more of a wrap of the pricing, a full year impact of the pricing that we already put in place in 2025. So there will be a bit of a favorable benefit to that. Outside of that, we'll see POS growth that will drive our sales growth on top of new product. So we had -- as we mentioned in our prepared remarks, we had a very robust year in 2025 from a new product standpoint. As a matter of fact, we had a record year for new product sales, which will carry over and we'll get a large bump from a full year impact of that. And we're anticipating another real strong year for new product sales as well.
Operator: Our next question comes from Bret Jordan from Jefferies LLC.
Bret Jordan: When we look at the inventory growth year-over-year, could you sort of parse out what of that is in tariff price, units versus cost in that inventory?
Kevin Olsen: Yes, Bret, the largest proportion of inventory growth that you've seen really starting at midyear at Liberation Day is the higher tariff cost. There is some additional lift there just because volume was up, but also we did purchase ahead of the tariffs that temporarily lifted our inventory levels as well. But the largest component is increased cost from tariffs.
Bret Jordan: Okay. And then I guess when you think about the customer base ex the advanced math, about the POS, the cadence through the quarter, and I guess maybe if you could give us any color on early '26. Are you seeing the underlying traction improving at the sort of end user demand?
Kevin Olsen: Yes. So as we mentioned, Bret, POS was very similar in the fourth quarter that we saw in the third quarter. And as we rounded into 2026, January was essentially in line with what we saw in the fourth quarter, and we did see a modest uptick in February. As you know, March is a pretty key month for the aftermarket as we get ready for the spring selling season. So obviously, we're hoping that, that continues that progress that we saw in February.
Operator: Our next question comes from Jeff Lick from Stephens Inc.
Jeffrey Lick: David, best of luck.
David Hession: Thanks, Jeff.
Jeffrey Lick: So if you just look at the exit rate of sales. Light-duty flat, heavy-duty 5% and specialty 0. What gives you confidence? Your guidance of 7% to 9% assumes there's going to be quite an acceleration. I was wondering if maybe you could just give a little more granularity. And then am I right to interpret that you're still going to see some tariff benefit in Q1 and Q2? And then maybe if you could peel back. You also made a comment, Kevin, I think, to Scott's question about POS sales with the customer with the auto -- the order pattern change, were they actually down then? So maybe just kind of what gives you -- the 7% to 9% implies an acceleration. So maybe just a little more granularity.
Kevin Olsen: Yes. Sure. So full year sales growth in 2025 was about 6%. What happened in the fourth quarter, Jeff, I'm glad you brought this up. We had one of our largest customers shift their order patterns in the fourth quarter as they're going through some supply chain and distribution center consolidation. If that -- if we saw order rates kind of continue like we did in the third quarter, we would have been well within the guidance that we issued to TheStreet. Just to give you a little context, orders were down from that customer nearly 40% from the third quarter. That's obviously not going to continue as we move through 2026. We see -- we're going to continue to see some disruption early this year, which we've seen that starting to normalize. And as we exit the first quarter, we should be back to more normal ordering patterns as it relates to POS. So if you kind of take that and you add that to the new product, which always will drive above-market growth for us, which it has historically. And then the pricing, the full year wrap of the pricing, we'll get a full year of that, whereas in 2025, that really didn't start taking effect until midway through the third quarter. You add those kind of together, we're pretty confident with the sales guide that we put out there.
Jeffrey Lick: And then just as a follow-up on gross margin. So if I'm correct in recalling, you guys have use pricing increases to increase dollar for dollar as opposed to percentage. So naturally, you're going to recoup the gross profit dollar, but that implies your gross margin will be down with that kind of pricing strategy. So am I correct then that the bigger impact as these -- as the COGS catch up will be Q1 and Q2 and then I guess, margin would be down in Q3 and Q4, but just not as much. Is that fair?
Kevin Olsen: Well, it's why we gave some additional clarification, Jeff, to the margin outlook, which we haven't done historically. So when you think about -- you are correct, when we did pass through tariff pricing, it was dollar for dollar, and that will have an impact on margin percentages, but not margin dollars, as you point out. We've guided to an operating margin percent of 15% to 16% for full year 2026 with exiting at a higher rate than that, high teens. Just for some context, back in 2024, before tariffs were implemented, our operating margin was 16%. So we believe as we work through this higher tariff inventory in the first half, we have visibility to kind of the cost in our -- that has built up in our inventory. On top of that, when -- after Liberation Day, we obviously went right to work on negotiating better prices from our suppliers, further diversifying our supply chain, going from higher tariff regions to lower tariff regions, working on productivity initiatives. All those savings essentially are baked into the inventory and will come through in the back half of the year. Remember, any time we either have a cost increase to an input cost or cost decrease, it usually takes about 7 to 8 months to work its way through our inventory because of FIFO accounting. And that's what's causing a lot of the confusion with our numbers. I also point out that if you step back and kind of take out the timing issues of 2025 and 2026, our implied guidance for 2026, 2-year growth rate will be about 15% compared to 2024, the 2-year stack. EPS growth will be about 16.5% over 2024. So again, if you kind of step back and take out all the timing noise, those are really the levels that we have historically driven, and we continue to believe that we can continue to drive those levels of growth going forward.
Jeffrey Lick: That's awesome. Listen, I really appreciate the color and granularity and I'm sure everyone else does as well.
Kevin Olsen: You got it.
Operator: Our next question comes from Tristan Thomas-Martin from BMO Capital Markets.
Tristan Thomas-Martin: A broader kind of question. You called out like complex electronics growth. How should we think about kind of like your content TAM on an EV versus an ICE vehicle?
Kevin Olsen: Okay. So I'll start off -- good question, by the way, Tristan. I'll say that we're -- as we view ICE vehicles or pure plug-in electric vehicles, I guess that's what you're calling an EV or hybrid vehicles, we're drivetrain agnostic. So whatever the drivetrain is going to be, we have the capability to develop parts that fail for either of those drivetrains or systems. As we look at complex electronics, it continues to be a larger and larger portion of our portfolio, whether that be ICE, plug-in electric or hybrid. And so I -- and if we look at the product funnel, our new product opportunities looking out 3 years. Complex Electronics is the highest proportion of that funnel than it's ever been, which, as we've talked about before, we believe that is our competitive moat as we look around at competition around the aftermarket. So it's obviously -- we view it as a very favorable dynamic. And obviously, Complex Electronics carry a much higher ASP than a pure mechanical part.
Tristan Thomas-Martin: Yes. And then just switching to specialty vehicles. I think you used the term rebound in your kind of slides and script. So how are you thinking about kind of new vehicle kind of end market sales in '26?
Kevin Olsen: Yes, good question. We didn't -- I don't think we call the market rebound. I think what we said was new vehicle sales have rebounded a bit, which they have. Hopefully, that trend continues. And we see that inventory in the dealer channel has stabilized and we believe at healthy levels. So listen, we're not waiting or banking on a big market rebound. We're just working on the factors that we can control, continue to expand our footprint, particularly on the West Coast, which we've had a lot of success with, continue to drive new product development growth, particularly on the nondiscretionary repair side, which has been a big initiative of ours and taking market share. We're just -- and frankly, controlling our costs. The market will be the market. I can't control that. But we feel real confident in the actions that we've taken to continue to look to drive growth. When the market does return, I think we're going to be very well positioned.
Tristan Thomas-Martin: Got it. David, enjoy the retirement.
David Hession: Thank you, Tristan. Appreciate it.
Operator: Our next question comes from David Lantz from Wells Fargo.
David Lantz: David, congratulations again.
David Hession: Thank you. I appreciate it.
David Lantz: So light-duty order fluctuations are expected to continue in Q1, but I just wanted to make sure the message is that segment sales should still grow in the quarter and then accelerate through the year from there. And then within the 7% to 9% top line sales for the year, curious if you can parse out how you think your subsegment performance will shake out relative to each of the broader categories.
Kevin Olsen: Yes. I mean -- David, I'll say that we didn't break out how much is going to be price and volume in the 7% to 9%. I think I've covered in general, why we're comfortable with the growth guidance that we put out there. Look, I mean, not a lot has changed. I mean we feel that we've got good growth opportunities in all 3 segments. Light-duty, new product development, as I said before, we had a record year in 2025. We think we're going to have another strong year in 2026. Ordering patterns from our large customer will come back into line. We see very solid growth in the LV business in 2026, and we got the pricing ramp that I mentioned earlier. You have some similar dynamics, frankly, in the other 2 segments. In heavy duty, I'll just kind of remind everyone that heavy duty is probably the least exposed to tariff. But we've seen a couple of good quarters of growth. We had 6% growth in the fourth quarter. Again, we're not calling a rebound in the market for sure. We're just going to focus on the things that we can control and continue to take market share and deal with any tariff pricing that we're exposed to in that market, too. So that will drive a little bit of the uptick. And same with specialty vehicle. I kind of covered that on Tristan's calls, but we continue to drive further market share gains as we expand in underserved regions in the country and continue to drive new product development growth, which we've been successful with. So that's what gives us the confidence to hit the guide that we put out there.
David Lantz: Got it. That's helpful. And then on the balance sheet, it's really healthy. So curious if you can walk through how you're thinking about M&A in 2026 between potential tuck-in opportunities and geographic expansion and then balancing that with share repurchases.
Kevin Olsen: Yes. Look, our capital deployment strategy really hasn't changed. I mean, first, we're going to look at debt levels. We've obviously paid down significant levels of debt since our previous large acquisition of SuperATV and our leverage ratios are very moderate levels right now. Second, we look to invest in organic growth, new product development. That obviously is our highest area of returns, and we're going to continue to invest there. And third, as you point out, we look to deploy capital for M&A. We have a lot of dry powder right now given our debt structure and our leverage and our -- frankly, our cash flow, which we really haven't talked about yet, but cash flow was much improved in the fourth quarter as compared to the third quarter. We generated about $76 million of free cash flow last year in 2025, well below what we would normally generate due to the tariffs. As you -- as we look at 2026 from a free cash flow standpoint, I think we'll be -- you can kind of look back to 2024, more normal levels of free cash flow. We generated close to $200 million. So I think we're expecting a more normalized free cash flow year as we move forward. And then if M&A opportunities don't present themselves, we look to return capital to shareholders. And historically, we've done that opportunistically through share repurchases and which we resumed here in the fourth quarter of 2025. So look, just in general, on the M&A front, I'd say that as we pointed out in our prepared remarks, 2025 was a real quiet year, I mean, for obvious reasons. I think with all the turmoil with tariffs, it was kind of tough for companies to get a good handle on what valuations should be. I think that's kind of getting behind us now. And so I think we'll see a much higher level of activity here in 2026.
Operator: Our next question comes from Gary Prestopino from Barrington Research.
Gary Prestopino: Kevin, you're doing real well with Complex Electronics, new products and all that. And at times, I think you've been a little bit reticent to talk about just the growth that's being contributed there by the new products. But if you could give us an idea on your top line, is it 50 basis points, 100 basis points, 200 basis points? It seems that is going to be, I think, a key driver of growth going forward. And then I have a follow-up on Complex Electronics.
Kevin Olsen: Yes, Gary, I'd point you to -- look, historically, we have not broken out how -- for competitive reasons, and I think you hope you can understand that, the scale of our Complex Electronics portfolio we believe we have a competitive moat there, and we really like to protect that moat. And in terms of new product, I'll point you to -- we continue to launch thousands of SKUs. That will come out in the 10-K that will be issued on Friday, tomorrow. But you'll see a nice growth in SKUs. We continue to point out, we did highlight from a new product sales growth dollars was a record in 2025. And I think we continue to drive increased throughput. The amount of the funnel that we have, that's our forward-looking repair opportunity funnel continues, as we've talked about publicly, it's the highest that it's been historically. We feel real good. Look, Gary, you look back at our growth trajectory over the last 5, 6, 7 years, as we've said, we feel real comfortable that we can deliver outsized growth compared to market. The aftermarket has grown anywhere from 3% to 4% historically. We've delivered between 7% and 8% growth historically. We believe we can continue to do that.
Gary Prestopino: Okay. That's fair. And then I just -- in the context of, and I think another question was raised about the TAM on complex electronics, but I think it was more or less directed towards the EV side. I mean, in general, what are you seeing as far as that TAM goes across all the vehicles in operation? I mean, are you seeing the need for a doubling of what you can provide to the market on a complex electronics side as cars get more technologically advanced?
Kevin Olsen: Yes. I'm not going to -- yes, Gary, very good question, and it is related to the one I answered earlier. I would say that I'll reference back to what I mentioned earlier. As we look forward to repair opportunities, we have pretty good headlights as to what's failing in the marketplace. And when you look at that universe of opportunities, Complex Electronics continues to be a larger and larger proportion of that universe. And that's going to continue, right? I mean, if you look at the technology that's on vehicles coming off the line today, it's much different than it was 5 years ago, 10 years ago for sure. So those repair opportunities are going to continue to grow. I'm not going to really comment on the doubling, but I will tell you that one of our major focuses is how do we continue to increase our throughput there and how do we reduce our development time on Complex Electronics. And because we're going to see more and more electromechanical part opportunities in the future.
Gary Prestopino: Okay. David, best of luck and hit them straight in your retirement.
David Hession: Thanks, Gary. I appreciate it. I've enjoyed working with you.
Gary Prestopino: All right. Have a good one.
David Hession: Thanks.
Operator: Our next question comes from Justin Ages from CJS Securities.
Justin Ages: Congrats on the retirement, David.
David Hession: Thanks. I appreciate it.
Justin Ages: Question on heavy duty. It's been a couple of quarters now where you've highlighted some new business wins. So I just wanted to dig in a little bit what's driving those new business wins? And how should we think about -- is it coming as share gains? Or is it new products? Just want a little more color on that.
Kevin Olsen: Yes. Great question, Justin. It's a combination of both, right? We did mention that we do have a bit of a lift in the fourth quarter from tariff pricing, but the majority of that gain is due to competitive wins. And that comes in the way of just share gain execution in the marketplace, but also new product development. As we've talked about before, one of the reasons why we really like the heavy-duty platform and Dayton products in particular, was that we could port over our new product development process and really drive outsized growth there. I think -- and that takes some time as we need to get that flywheel going, which we've been doing. So we're really comfortable in terms of our prospects of growth as we continue to build out our portfolio and our categories with above frame products. And so yes, it's why -- it's one of the major reasons why we really like the heavy-duty business, the opportunity to drive new product development growth.
Justin Ages: Great. And then on margin, in '25, you highlighted outside of pricing increases, some productivity initiatives that helped margins expand. And you mentioned them into '26 as well. So I just wanted to get a little more color on what some of those productivity and automation initiatives are that you're looking towards.
Kevin Olsen: Yes, sure. I mean there's a suite of things, Justin. Great question. I mean if you think about -- I mentioned earlier, obviously, we're -- first and foremost, as tariffs have come into the frame again, we're obviously looking to get the best acquisition cost that we can around the globe. So we're constantly in negotiation with our manufacturing partners around the world. Secondly, we have now built a global supply chain team that is very capable around the world in many different countries. We're able to look to optimal manufacturing locations that -- where we get the best value proposition overall, kind of cost, quality, price proposition. So we continue to do that. And lastly, as you mentioned, productivity in our -- kind of inside our 4 walls would be -- we made some significant investments in automating our DCs, which is a high cost for us. Those investments have been very successful. We continue to see great productivity being driven on the direct labor front. That will continue. We view that as early innings, frankly, in terms of where we are on the automation curve. So we'll continue to focus on that as we move forward. And then we're constantly looking to look to ways to increase productivity in all of our functions around the business. For instance, we drove outsized new product development growth and SKU growth this year without adding that commensurate level of resources. And that's process improvement, tools, better tools, better organizational structure. So we're going to continue to look to do things like that to drive productivity.
Operator: Our next question comes from Bret Jordan from Jefferies LLC.
Bret Jordan: Just a quick follow-up on Complex Electronics. You talked about the ASP being higher. Given the lack of aftermarket competitors in that space, is the gross margin substantially higher as well?
Kevin Olsen: Yes. Good question, Bret. I think we've -- yes, we've talked about this previously. Look, certainly, it depends on the ASP. But in most cases, when we're just competing against the OE, that's going to be our highest level of gross margin percentage, just in general, whether it's a Complex Electronic or not. So obviously, we look to maximize margins where we have a high level of investment like we do in Complex Electronics, we're clearly looking to make sure that we make those commensurate returns as well. So yes, in a lot of cases, it's a high level of gross margin.
Operator: That concludes the question-and-answer session, and this concludes today's conference call. Thank you for joining. You may now disconnect.